Operator: Welcome to the first quarter 2009 Nu Skin earnings conference call. (Operator Instructions). I would now like to turn the presentation over to your host for today's conference Mr. Scot Pond, Director of Investor Relations. Please proceed, sir.
Scot Pond: We appreciate you joining us today. With us are Truman Hunt, President and Chief Executive Officer; Ritch Wood, Chief Financial Officer; Dan Chard, Executive Vice President of Distributor Success and Joe Chang, Chief Scientific Officer. During this call comments may be made that include some forward-looking statements. These statements involve risks and uncertainties and actual results may differ materially from those discussed or anticipated. We encourage you to refer to today's earnings release in our SEC filings for a complete discussion of these risks. In addition during this call certain financial numbers may be discussed that differ from comparable numbers contained in our financial statements. We believe that these non-GAAP financial numbers assist management and investors in evaluating and comparing period to period results in a more meaningful and consistent manner. Please refer to our investor portion of the company's website for a reconciliation of these non-GAAP numbers. With that, I'll turn the time over to Truman.
Truman Hunt: We appreciate you joining us on the call this morning. We're pleased to report better than expected first quarter results and provide some insight on what we see shaping up as another record year for Nu Skin Enterprises. Based on our first quarter results, we're well on track to achieve our 2009 revenue and earnings targets. These targets include increasing revenue 3% to 5% in local currency and growing earnings in the 10% to 18% range excluding restructuring charges. As our release indicates, our first quarter revenue was $296.2 million compared to $298.1 in the first quarter of 2008. Reported revenue was negatively impacted 5% by foreign currency fluctuations, so that results in 4% revenue increase in constant currency. First quarter earnings were $0.19 per share or $0.28 when excluding $9.4 million in planned restructuring charges, primarily in Japan. This compares to $0.21 in the prior year quarter and exceeds our guidance of $0.22 to $0.24. We're very pleased to begin our 25th anniversary year with good momentum. Our compelling anti-aging product portfolio and business opportunity continue to attract people to our business. Given the current economic environment, we are seeing increasing numbers of people looking to Nu Skin as a vehicle to supplement or replace income. I'm continually impressed with the quality of people we're seeing join our business, which is a reflection of the strength of our company and the appeal of what we are offering. Our anti-aging platform continues to provide a competitive advantage as evidenced by a 19% revenue increase in our personal care brand in the quarter. Much of this growth comes from the success, we continue to generate with the new Nu Skin Galvanic Spa system. Adding to the Galvanic Spa momentum is the recently introduced Galvanic Spa gels with ageLOC, which was introduced North American Convention last fall and we plan to introduce the reformulated ageLOC gels into nearly all of our markets in 2009. The new ageLOC Galvanic Spa gels are just the first chapter in the ageLOC story. This fall at our 25th anniversary convention will unveil the comprehensive ageLOC anti-aging strategy. This is a truly differentiating platform that goes beyond addressing the superficial signs of aging by addressing aging at its source. Combined this with our proven scientific expertise in both skin care and nutrition and Nu Skin is really in an ideal position to take the lead in the growing anti-aging category. Our philosophy for many years has been to build the scientific engine that we can leverage to really differentiate our products and we are very proud of our history of innovation, but as proud as we are about innovations such as the biophotonic scanner, LifePak nano, the Galvanic Spa. I believe that ageLOC will be our most compelling product platform and product innovation ever. In addition to our strong product line-up, we're very pleased with the programs that we have implemented to help increase profitability. Our gross margins has stabilized, we're reducing the spend on ineffective sign incentives and we've taken another significant step forward during the quarter with our restructuring in Japan. You'll recall that we put a new management team in place in Japan in August of last year, and that team immediately went to work on a plan to drive growth by implementing in Japan the same mechanisms that are working effectively elsewhere in the world. And they also immediately set out to reorganize the company to contain costs. Those efforts resulted in a Q1 headcount reduction of about 35%. We are also working on our way out of suboptimal leases on walking centers in Japan, which will take place during the remainder of 2009. So, these restructuring efforts are already yielding a significant benefit by reducing our costs there by about $400,000 a month currently. And that level of savings is going to double by the fourth quarter of 2009. More important than the cost savings however, is the work that this team is doing to stabilize the top-line, while second and third quarter results will be more indicative of improving trends. We're very pleased with preliminary indicators of increased sponsoring and increased qualifiers for our executive distributor positions. So, our work there is definitely augmenting the bottom-line and we are also optimistic about our top-line impact as well. And obviously as the top-line in Japan levels out, the growth in our business elsewhere in the world will become much more evident. Our healthy first quarter revenue results came from continued local currency sales growth in most of our other individual markets. North America, Latin America, South Korea and Europe led the way once again with double-digit local currency revenue gains or steady improvements in the South Asia and Pacific region also contributed to solid quarterly results. As mentioned in our release, we continue to diversify geographically and we will begin initial marketing efforts in Turkey and in Columbia during the second quarter. Our revenue growth in the quarter was obviously masked by some FX issues that were significant and [effluent] such as in South Korea for example. Ritch will address the specifics of currency impact in just a moment. Overall, we're in a world of economic uncertainty, we are very pleased with the direction of our business and the results of our work to improve profitability over the past three years. Our product and sales initiatives enjoy good momentum and we are generating growth in nearly all of our markets. We're also positioned to capture the benefits of the restructuring was undertaken and now continue and finalize in Japan in particular. So with that, let me turn the time over to Ritch to go through the financial details for the quarter.
Ritch Wood: Thank you, Truman and good morning everyone. I will quickly give the local currency sales figures and then a bit more detail on our financial results. In the North Asia region, first quarter revenue in Japan was 10.3 billion yen, compared to 11.4 billion yen in the same quarter of 2008. Quarterly revenue in South Korea was 42.5 billion won versus 38.7 billion won in the prior year. In the America's the US posted $49.2 million in revenue compared against $44.4 million in the prior year. Canada reported C$5.8 million in the quarter, compared to C$3.3 million in the prior year and Latin America revenue was $4.5 million compared to $2.7 million in the prior year quarter. And in Greater China, Mainland China revenue was a RMB112.5 million during the quarter versus a RMB119.6 million in the prior year. Quarterly revenue from Hong Kong was 91.0 million Hong Kong dollars compared to 90.6 million Hong Kong dollars in the same quarter last year. And Taiwan revenue was NT$656 million compared against NT$678 million in 2008. Our gross margin for the quarter was 81.8%, that's even with the prior year. Selling expenses for the quarter were 41.6% compared to 42.9% in the first quarter of 2008. This improvement can be attributed to distributor compensation plan modification in many of our markets during 2008. And we are currently rolling out the wealth maximizer compensation plan enhancement to Japan and Southeast Asia here in April. We believe this plan in sense behaviors which will drive growth into the business, while increasing executive retention rates. However, modeling or payout, our distributor incentive payout as a percentage of sales, is a bit difficult since the exact payout percentage depends upon our field leader's success in achieving qualification requirements. Our forecast for the balance of 2009 has distributor incentives holding in the 41.4% to 42.0% range. General administrative expenses for the quarter were $89.7 million or 30.3% of sales compared to 29.7% of sales in the prior year period. The slight increase in G&A expense was associated primarily with additional promotion and events spending during the first quarter, particularly in Japan where we're beginning to hold distributor recognition and training events similar to what we do in other markets, that accounted for approximately $1 million, little over $1 million. All other major general and administrative expense categories such as labor, occupancy, travel costs were all lower than the prior year. We're very pleased with the successful execution of our restructuring efforts discussed by Truman here in Japan. Our 35% staff reduction will begin improving profitability here in the second quarter and continue throughout the year. We incurred a restructuring charge of $9.4 million in the first quarter, again that's primarily related to changes in Japan and of the $9.4 million, approximately $6.8 million related to severance payments, the rest being associated with facility, relocation or closing cost. At the beginning of the year, we guided that our restructuring cost for 2009 would be approximately $14 million during the year and we're on track with this guidance. We'd expect that the remaining restructuring cost of approximately $5 million will fall mostly into Q2 and Q3; we're pretty much done by Q3 at this year. The company's operating margin for the quarter was 10.0% for the first quarter, that's an 80 basis point improvement over the prior year. And again that impacts those restructuring charges from this quarter. We're off to a good start. And the first quarter results increased our confidence level and delivering on our 2009 target. During the quarter we sustained a net expense of $1.2 million in other income expense, line of our income statement. Foreign currency translation gains of about $600,000 offset interest expense in the quarter. Although, currencies continue to move around and are difficult to project, the gains associated with the translation of our yen, debt and liabilities during the first quarter offset losses on other foreign currency in our company receivables. And just to note, the yen finished the quarter at 98.95, so that where we translated our debt and so forth back. Our tax rate for the quarter was 37.4% and during the quarter, we paid $7.3 million dividends, purchased $2 million of company stock. We want to reiterate our 2009 guidance. This guidance includes local currency revenue growth of 3% to 5% with a projected negative currency impacted of 3% to 5% for the year, so 2009, approximately 1.24 billion to 1.27 billion. We project 2009 earnings per share to improve approximately 10% to 18% over 2008 or be in the $12 to $20 range, excluding 2009 restructuring charges of approximately $0.14. Also for modeling purposes, we remind you of our planed global convention, which will be held in October of this year at a projected cost of approximately $6 million to $7 million. For the second quarter here, we project to be in the $303 million to $310 million range with earnings per share in the $0.29 to $0.31 range excluding approximately $0.03 of restructuring charges. We expect constant currency sales growth to be very near where it was in the first quarter, still in that 3% to 5% range and again offset by even a bit more dramatic currency impact in the second quarter. So, we would project that to be in the 5% to 8% range in the second quarter. Again for the year, it will be 3% to 5%, but as we go towards the fourth quarter, the negative currency impact should be a little bit smaller. So with that detail, I'll go ahead now and open the call for questions.
Operator: (Operator Instructions). Our first question comes from the line of Olivia Tong of Merrill Lynch. Please proceed
Olivia Tong : Just want to talk a little bit about the personal care business because despite the fact that you are now coming upon, tough comps is still growing that business pretty strong. So, is that just continued Galvanic Spa benefits from launches as you go to other countries?
 Merrill Lynch: Just want to talk a little bit about the personal care business because despite the fact that you are now coming upon, tough comps is still growing that business pretty strong. So, is that just continued Galvanic Spa benefits from launches as you go to other countries?
Truman Hunt: Galvanic Spa is definitely the driver right now Olivia of our personal care business and continues to enjoy just a huge amount of enthusiasm among our sales forces as well as among consumers who are using it. But the ageLOC story and the ageLOC augmentation to the Galvanic Spa mechanism is also now contributing meaningfully to enthusiasm for the category and we'll continue to do so as we prepare product launches for the fourth quarter. You'll recall from our investor day last fall, that we talked about launching a daily use skincare system as well as a very compelling what we call mother of all serums at our convention in October. Those launches are lining up well and the story associated with these products is going to be very, very compelling. So, we continue to expect the comparative focus between personal care and nutrition to remain on personal care for the time being.
Olivia Tong - Merrill Lynch: Got it and then also want to talk a little bit about Korea, because the won currency trend is still growing, but it's a huge deceleration versus Q4. So, may be you could go a little bit into what's going on there and just excluding the currency?
Truman Hunt: Yes Korea for Q1 was actually up against tough comp in Q1 of '08. Last year, the market launched our nutrition product line called as Estera very successfully. And they didn't have a comparable launch of the same magnitude in Q1 of this year. So there is a little deceleration there. Our management team is concerned about economic influences slowing down business growth there, but it was a tough comparable year-over-year. Korea has some solid products to launch for the remainder of this year in the new hair care line, as well as the launch of LifePak nano later in the year. So, this market over the last decade has been a solid and as steady growth market as we've had anywhere in the year, anywhere in the world. And we think we will be able to continue to grow the business there inline with first quarter results.
Olivia Tong : Okay, so some more or less sort of at the low double-digit range for the rest of the year is what you're thinking?
 Merrill Lynch: Okay, so some more or less sort of at the low double-digit range for the rest of the year is what you're thinking?
Truman Hunt: Correct.
Olivia Tong : Okay. And then just lastly you mentioned a little bit of share repurchase this quarter. Cash still looks good and looks like, as far as what you're expecting that things sort of came in my mind, your expectations slight a little bit more currency hit. So, I wanted to hear a little bit about what your thoughts are as far as the use of cash, may be any potential for incremental share repurchase as the year progresses?
 Merrill Lynch: Okay. And then just lastly you mentioned a little bit of share repurchase this quarter. Cash still looks good and looks like, as far as what you're expecting that things sort of came in my mind, your expectations slight a little bit more currency hit. So, I wanted to hear a little bit about what your thoughts are as far as the use of cash, may be any potential for incremental share repurchase as the year progresses?
Ritch Wood: Just a quick summary, as we kind of came into the year we sat down with our board and set out the direction that we'd plan to go. Right now as you mentioned, our business continues to perform just about exactly as we had forecasted, may be a little bit better profitability than we had assumed. So, cash flow continues to be approximately where we estimated a little bit ahead of that. We do pay down about $32 million in debt during the year according to our standard amortization schedule going forward. According to the board we'd continue to be in the market buying back shares throughout the year, but not in aggressive level and then allow our cash balances to build up just a little bit from where they have been in the past. So, we will be in the market, we'll consistently discuss this with our board, but at the current time plan to kind of carryforward as we put plans in place at the beginning of the year. If you look at a year-over-year basis, our debt down $30 million, our cash is up $20 million. We've been able to really strengthen our balance sheet and believe we can continue to do that, which puts us in a great position to create value. However, it seems to make the most sensitive to do that going forward.
Operator: Thank you very much, ma'am. Ladies and gentlemen, your next question comes from the line of Tim Ramey of D.A. Davidson. Please proceed.
Tim Ramey - D.A. Davidson: Just wondered if, I didn't hear you actually say the size of Galvanic Spa right now and if without Galvanic Spa there wouldn't have been the growth in the personal care business?
Truman Hunt: Well, Galvanic Spa and associated products represented in the first quarter about $55 million of sales and then it's up almost ten-fold over where it was three years before that. It's definitely the growth driver, would we be up without the growth, if that growth of Galvanic Spa probably not in the personal care category.
Tim Ramey - D.A. Davidson: And is there more geographic roll out or new markets being considered there that, we're not aware of it already or what should we be thinking about for?
Truman Hunt: Yes the only markets that have launched the new Galvanic Spa gels with ageLOC are North America and Europe. And so, you'll begin to see geographic roll out of ageLOC in Galvanic Spa gels as the year goes on and really mostly towards the end of the year in the fourth quarter. The Galvanic Spa itself is available in most of our markets now, but it's still relatively new. A new area of focus in most of Southeast Asia and in Greater China, where over the past five years, most of the focus has been on Pharmanex initiatives. So, the focus on the Spa really is just beginning in most of the Asian markets with ageLOC technology to roll out by the fourth quarter of this year.
Tim Ramey - D.A. Davidson: And Truman do you have any experience or data on kind of the stickiness of the repeat purchase of the consumables with Galvanic Spa, is it or is it just...?
Truman Hunt: No, we're very enthusiastic about the repeat purchase mechanism associated with the gels on a monthly basis. It really is a razor and a blade approach. And so, far follow on consumption of the gels is very high and we're very enthusiastic about that. I want to also mention Tim one thing that's often lost even internally here is that galvanic treatments have a positive impact, a significant positive impact on the effectiveness of other skin care products as well. So you don't have to just benefit from a Galvanic treatment itself. A Galvanized phase basically makes our other skin care products significantly more effective, though it's a very, very compelling mechanism from both and initial self perspective as well as a following perspective.
Operator: Ladies and gentlemen, your next question comes from the line of Rommel Dionisio of Wedbush Morgan.
Rommel Dionisio - Wedbush Morgan: Truman, can you just update us on the geographic penetration of ageLOC at this point. I know you lost in the US last fall, is it in Europe at this point and just to pick the rollout you expect for 2009 for ageLOC?
Truman Hunt: Yes, ageLOC in Galvanic Gels is available in Europe and North America. And as I just mentioned to Tim, it will be available in the fourth quarter in most of our other markets, actually with the fourth and the first quarter of next year, when ageLOC really launches officially at our October convention here in the US.
Rommel Dionisio - Wedbush Morgan: Truman, I knew you talked about also at some point, putting that into ingestible form? Is that something you'd have ready by convention may be or is that more of a 2010?
Truman Hunt: Yes, we're really going to keep the spot light focused on skin care for the time being. We love the growth and the momentum we are seeing there and we have such a compelling array of products in this category that we're launching in the fall of this year that it would really be a distraction to throw a nutrition story into the middle of that. So, ageLOC infused into nutrition is a 2010, 2011 story.
Operator: Your next question comes from the line [Pierre Auslund] of Jefferies. Please proceed.
Pierre Auslund - Jefferies: Good morning, thank you. Question on China, I don't want to make a mountain of out a 5% of the business, but we know that the Galvanic had the initial rollout late in the fourth quarter. I just wanted to get an update as to the status of the rollout there now, if we're out with the full distributor base and whether or not we've got supply constraint there at this point, that's all work through.
Truman Hunt: Well, you're right. We introduced Galvanic to sales leaders in China in December. And China as you may recall, in the fourth quarter last year was down 1%. So, to be down 6% in Q1 seems like it deceleration. But what's going on there is, continued transition from our historical business model to a new go forward business model. And in particular, this is a market where the business environment for what we do and direct selling can become overheated and our management team is in the process of weeding out people who frankly we don't welcome in our world and that more than anything is reflected in the 6% down for Q1.
Pierre Auslund - Jefferies: Okay. So, you would attribute the decline more to that than Galvanic, maybe cannibalizing other sales into the market?
Truman Hunt: Yes, I mean, we knew, in developing our '09 plan with our China management team that, we were going to start to weed out people from our sales force who frankly keep us from being able to be all we need to be and want to be in that market. So, our General Manager there Andrew [Finn] warned that as we got serious about doing that in the first quarter and in the second quarter of this year, would negatively impact sales. And he was right, that's exactly what happened as we have really focused over the last couple of months on what I would characterize as sales force management.
Pierre Auslund - Jefferies: Okay. So, that would probably answer the question as to why the executives in the region was down and is well.
Truman Hunt: That's right.
Operator: (Operator Instructions). Our next question comes from the line of Scott Van Winkle of Canaccord Adams. Please proceed.
Scott Van Winkle - Canaccord Adams: Hi. A couple of questions, first, couple actually on the economy. Wondering, is there any consistencies across your markets from, kind of the current economic world and what are the inconsistencies across your geographic, geographic regions?
Ritch Wood: That's actually a really interesting question, Scott because as we evaluate the business, I think that the economic situation really is impacting us a little bit differently in many of our markets. I think that the depth of the decline and the fact that South Korea, for example, has been under economic pressure a little bit longer than other markets around the world, leaves us to believe that the economy there is a little bit more of a factor on our business results in Q1 than perhaps it is in other markets. I mean that the world is just really new to this level of economic stress and so, we are learning as we go to. Has the economy been a net positive or a net negative, for us right now, I think, it's about a wash, I mean it is true that increasing numbers of people are looking for opportunities. Its also true that pressure on consumer spending is negatively impacting consumption. But for us, if you look at it from a global perspective and on the whole, I think it's about to wash.
Scott Van Winkle - Canaccord Adams: Truman, you're very involved in the direct selling association kind of the broader channel. Are there different types of models out there that are fairing better or fairing worse or maybe more insight Nu Skin, are there distributors coming do you saying this is working in this environment, this isn't working in this environment. I'm wondering if there's a kind of a way to navigate to a different selling model tool meetings et cetera, et cetera, that you kind of seeing happen in this environment.
Truman Hunt: Well, that's a complicated question and of course data on the industry from the global perspective really isn't available yet. But clearly there are direct sellers who are being significantly negatively impacted in this economy. And I think that, for the companies in particular that really are kind of low [octane] on the business opportunity side of the equation and are really largely, largely just mass sellers of personal care and cosmetic products, so probably are more likely to be heard than and companies who have a more robust opportunity to offset the contraction in consumer spending. I wanted to just note, Scott that, I think one of the things that's enabling us to get through this better than most of our competitors is the fact that we went into it, with A decent business momentum in the first place. And B already having really restructured most of our business over the last three years. So, we got an early start on having to deal with the economic pressures and we also had great momentum going into this headwind.
Scott Van Winkle - Canaccord Adams: Okay. And I guess, one product related question is, as we talk about the success of the Galvanic Spa and you have these kind of series of blockbuster products that come out and one kind of cannibalizes the other or complements another, I should say as well. When you launch [Molas] broadly, what should we expect from the rest of the portfolio?
Truman Hunt: Well, we are going to do our best to minimize cannibalization, but there are always is some. I mean, it's just enviable. We actually in our modeling on that product in particular, are not worried about the cannibalization because of the margins on [Molas]. There inevitably is some cannibalization. But, you know Scott, to tell you the truth. If we were really a good job of selling what's coming down the pike for us, I would be standing on the table jumping up and down and making lots of noise because this is really, really good stuff. And when, I've being doing this now for 13 years and I can tell you that we've never had a better story in what is going to be embodied in the ageLOC story this fall. And our sales force is just line up over this, so we are very excited about it.
Scott Van Winkle - Canaccord Adams: Again, given that you have something you're so excited on the product side, does it peak your interest in spending some more traditional marketing dollars and try to grow recruiting and drive interest in the product. Some of your competitors, obviously your sponsorships, I'm just, is not excited about the product, and why don't if you go broader than normal.
Truman Hunt: Well, yes, that's always a dilemma is in it within the constraint of our business model. Right now Scott, to tell you the truth attracting people to the business is not really the problem, and our sales force is doing a great job of attracting people to the business and that's kind of what traditional advertising spend would do. I'm very confident that when the sales force get to hold to this story. They are going to lied up and I'm just excited to get after it this fall and going into 2010 outside of the US.
Scott Van Winkle - Canaccord Adams: Okay. And Ritch one quick question. Just so I understand your forecasts are based on what was the currency again for the Yen and you don't assume any of the debt re-valuations or inter company receivable re-valuations in your forecasting?
Ritch Wood: That is correct. Yes haven't built-in any gains in the other income line and other income expense line from foreign currency movement. But I have the Yen for the rest of the year being just slightly ahead of a 100, so around 102 for the year and overall estimated negative impact of about 3% to 5% currency. So, we are negative 5%. In the first quarter, it'll be a little bit higher than that in the second quarter, and then should [pay for that] by the fourth quarter of this year.
Operator: You're very much, sir. That concludes our Q&A session for today. I like to draw back to our representers for any closing remarks they may have.
Truman Hunt: We appreciate you being on the call, and let me just point here in conclusion that while some markets may decelerate, other markets are accelerating and on the whole and net, we are still very comfortable with 3% to 5% local currency growth. We continue to find that it's a great time to be a direct seller. The world needs what we offer both from an opportunity perspective and a product perspective now really more than ever. And we continue to work hard to maximize shareholder value until that these efforts are paying off. So, we look forward to answering any additional questions you may have. Thanks for joining us today.
Operator: Thank you, very much sir and thank you ladies and gentlemen for participating in today's conference call. This concludes your presentation for today. You may now disconnect. Have a good day.